Operator: Greetings, and welcome to the Perma-Fix Environmental Services First quarter 2017 Earnings Conference Call. At this time all participants are in a listen only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. David Waldman of Crescendo Communications. Thank you, Mr. Waldman. You may begin.
David Waldman: Thank you. Good morning, everyone, and welcome to Perma-Fix Environmental Services First Quarter 2017 Conference Call. On the call with us this morning are Dr. Lou Centofanti, CEO; Ben Naccarato, Chief Financial Officer; and Mark Duff, COO and Executive Vice President. The company issued a press release this morning containing first quarter 2017 financial results which is also posted on the company's website. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at 212 671-1021. I'd also like to remind everyone that certain statements contained within this conference call may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and include certain non-GAAP financial measures. All statements on this conference call other than the statements of historical fact are forward-looking statements that are subject to known and unknown risks and uncertainties and other factors which could cause actual results and performance of the company to differ materially from such statements. These risks and uncertainties are detailed in the company's filings with U.S. Securities and Exchange Commission as well as this morning's press release. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. In addition, today's discussion will include references to non-GAAP measures. Perma-Fix believes that such information provides an additional measurement and consistent historical comparison of its performance. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today's news release and on our website. I'd now like to turn the call over to Dr. Lou Centofanti. Please go ahead, Lou.
Lou Centofanti: Thank you, David, and welcome, everyone. I'm very pleased to report solid year-over-year improvement in the first quarter. Overall revenue increased 27% to 12.7 million compared to 10 million for the same period last year. Also achieved 835,000 of adjusted EBITDA, an increase of 3.1 million from the same period last year. We achieved these results despite severe winter weather in the Pacific Northwest which impacted waste shipments and despite the fact the first quarter's typically seasonally our weakest period. But the most dramatic is the balance sheet, and you can't really see it in the issued earnings. But because of the 8-K event issued last week, today, we sit with over 3 million in cash, no revolver debt and also entering the strongest period of the year. Over the last two years, we worked very hard to reduce the operating costs and reposition the company and you're now seeing the effects of that. As I said, our balance sheet is in the strongest position we've been in a long time. And in addition to the positive cash flow, change is also a result of freeing up 5.9 million of cash by replacing the closure policy at our Northwest Richland facility with a new bonding mechanism. We used the cash to pay off our entire revolver line of credit, and we're very, very good. The balance sheet, we also think the balance sheet should continue to improve. Within the Treatment segment, we experienced a 39% year-over-year increase in sales and we expect this trend to continue as evidenced by the improvement in our backlog. As we indicated on our last call, a lot the delays that impacted '16 have been resolved, following the election. We're also encouraged by the '17 budget within the Department of Energy's Office of Environmental Management which oversees the remediation of nuclear waste at the various DOE sites around the country. Current budget for '17 is more than $6 billion, a significant increase over last year. In the past, the increased budgets usually lead to an increase in discretionary spending for waste treatment, especially at the end of the government's fiscal year which coincides with our fiscal third quarter. We continue to pursue a variety of major initiatives associated with expansion of our market base and look forward to discussing them further as they materialize. Within the Service segment, this was a very active quarter for new project bids and we continue to grow our sales pipeline. We're also focused on improving our win ratio as a result of the recent initiatives Mark Duff -- that Mark Duff has put in place and which should begin to bear fruit later this year. Mark will provide some additional color on our service pipeline and new business opportunities in this segment later in the call. Turning to our P&L. We continue to carefully manage expense and identify new areas for cost savings. We are on track to complete the closure of our M&EC facility by January of '18. After which, we believe we will save an estimated $4 million to $5 million in fixed cost annually. Given the growth in revenue, the improved liquidity, the strength of our balance sheet, we believe that the company is dramatically undervalued and well positioned to move forward. Lastly, we are continuing to work towards trying to finalize the definitive agreement with a private investor to fund our medical subsidiary and hope to have an update in the near future. Now let me turn the call over to Mark, our Executive Vice President. Mark?
Mark Duff: Thanks, Lou. I'm very pleased to report that Perma Fix has made meaningful progress this quarter in the implementation of improvements needed to strengthen our offering in both the Waste Treatment and the Nuclear Services segments. These improvements are reflected in increased receipts of waste at our treatment plants throughout the past five months which has resulted in significant backlog and high productivity rates in our processing facility. This increase will support our goals of plant expansions opportunities and the addition of new capabilities and capacity for the treatment of new waste streams we plan to implement within the next three quarters. We continue to see increases in our waste receipts, who continue to focus on innovative approaches that allow our clients to realize new value in using our waste treatment services versus the direct disposal approaches of our competitors. First quarter sales receipts were just below $10 million, which is about $2.5 million above both prior year and this year's expectations. As we enter the midpoint of the second quarter today, we remain encouraged by this indicator relative to the sustained growth for the year. While our nuclear services division realized lower than anticipated revenue in the first quarter, our success for the quarter was defined more by creating a foundation for future sustainable growth. The enhancement of our business development organization identifies and position us for more opportunities and generate high quality submittals to increase our win rate as the success of the quarter. And that resulted in 11 wins this quarter out of a total of 14 proposals that were announced during that same period. This is an unprecedented win rate for the company. The full impact of being approved may not be recognized for a few quarters while proposals are under review as part of the process. However, with 17 additional bids submitted during the quarter that have not been announced yet, that represents over $30 million potential annual revenue. We're encouraged by the volume of bids that directly align with our core competencies. We continue to expand our geographic reach through these recent wins in Canada, including new opportunities in both the Services and the Treatment segments. This growth will be realized through the third quarter and provide additional stability to our overall services organization as we continue to build a critical experience in Canada. Based on our current market expectations and the strength of both sectors, we remain confident that 2017 will be a strong year for the company and sets the stage for sustainable growth for this foreseeable future. With that, I'll turn the call over now to Ben Naccarato, our CFO.
Ben Naccarato: Thank you, Mark. I'll begin with revenue. Our total revenue from continuing operations for the first quarter was $12.7 million compared to last year's first quarter of $10 million, an increase of $2.7 million or 26.6%. The increase was primarily from the Treatment segment where increased waste volume resulted in a revenue increase of $2.8 million compared to last year. This increase more than offset the small $161,000 reduction in revenue in our Services segment. Turning to cost of goods sold. Our total cost of sales was $10 million which was equal to last year's cost of sales even though we did have increased revenue. Our Treatment segment's variable cost of sales were down $263,000 as the waste mix provided for the lower treatment in disposal costs, even with the higher revenue. This variance was offset by higher fixed cost at the treatment facilities as we have increased our depreciation expense as a result of shortening the depreciable lives at our M&EC facility which as you know, is scheduled for closure in January of 2018. So these costs, our total cost in the Service segment were relatively flat and despite a small reduction in revenue. Turning to gross profit for the quarter. It was $2.7 million compared to just $34,000 in 2016. The improvement was entirely from the Treatment segment, where gross profit increased by $2.8 million due to both increased volume and increased margin brought about by more profitable waste mix. This was offset slightly by a drop in the gross profit in the Service segment of $140,000, resulting from the lower revenue. Our total G&A cost for the quarter were $2.9 million, down a little bit from the $3.1 million last year. Our lower cost is related to salaries and bid and proposal spending as the primary drivers for this reduction. Loss from continuing operations for the quarter was $675,000 compared to a loss of $3.8 million last year. Included in this loss are the $200,000, are approximately $200,000 and $438,000 related to our Medical segment for Q1 '17 and '16, respectively. Our loss applicable to common shareholders was $727,000 compared to last year's net loss of $3.8 million and the loss per share for the quarter was $0.06 compared to a loss of $0.33 in the prior year. Our adjusted EBITDA from continuing operations as we defined in this morning's press release was 835,000 compared to a loss of 2.3 million last year, a year-over-year improvement of 3.1 million. I'll now discuss a few changes in the balance sheet compared to year end. Our current receivables both billed and unbilled were down 778,000 which reflected improved collections. Our other current assets were up 6.6 million, primarily reflected by the current finite risk receivable of 5.9 million related to the replacement of our bonding mechanism at the Northwest facility. This receivable, as Lou mentioned, was collected on May 1, 2017. The remaining 700,000 increase was from normal operating prepaid expenses. Our intangibles and other assets decreased by 6.1 million, primarily from reclassifying the 5.9 million finite risk sinking fund from long-term to current as we just discussed. Our waste backlog was up and it was 5.9 million compared to 5.2 million at year-end and higher than the 4.9 million in March of last year. Our current closure accrual increased 729,000 which was the result of reclassifying the final piece of the closure accrual at M&EC to current from long-term. Our current debt is 1.2 million which is consistent with year-end and lower than a year ago by about 642,000. And our total debt at the quarter end stood at 7.1 million, all due to the primary lender PNC Bank, 4.9 million representing our term loan and 2.2 million representing the revolver balance. Finally, I'll give you a quick summary of our cash flow. Our cash provided by continuing operations for the quarter was 2 million. Our cash used by discontinued operations was 139,000. Our cash used for investing was 57,000 of which 22,000 was for capital. And finally, our cash used for financing was 1.9 million, 1.6 million of which was to reduce our revolver balance. With that, operator, I'll now turn the call over to questions.
Operator: [Operator Instructions] Your first question comes from the line of Sam Rebotsky of SER Asset Management. Please proceed with your question.
Sam Rebotsky: Lou, one of the things you didn't address is the Hanford accident that happened. Could you sort of address what capability you could handle relative to Hanford and what's your thoughts about this tragic event?
Lou Centofanti: Well, as you know, there is a tremendous amount of opportunity there at Hanford. The event yesterday was the roof collapsed on several railcars that have probably sat there for 70 years. We continue to see a great opportunity in working at Hanford. It's a major source of waste for us. In fact, in the first quarter, as we've mentioned, it somewhat hurt us because of the weather but we still did fairly well. And we expect that waste then to come in, in the remainder of the year. There is just a tremendous opportunity at Hanford, as we've talked in the past. That event, I think, will have -- was a dramatic event, short term and don't see at this point, a lot of repercussions coming out from it at this point. If there was no release, no major event.
Mark Duff: There's still, this is Mark. There's still a lot of investigation that has to occur before they come up with a remedy or any type of understanding of the next steps for recovery, if there is any in the near term.
Sam Rebotsky: But it would appear that this would be encouraged to create funds to treat the waste sooner than later. And if this did occur, how much more waste can you treat in increasing your revenue relative to Hanford?
Lou Centofanti: We see a lot of opportunity and a lot of initiatives we have going on there in terms of different waste streams. And at this point, we are not sure much will come out of that event for us in the short run, because it will be a recovery effort on the part of the contractors, so -- but it continues to be our main focus and our Northwest facility continues to evolve really into our flagship facility as we continue to reposition the company. It's hard to give you any real numbers at this point because like Mark had said, they're still in a -- trying to figure out what really happened.
Sam Rebotsky: No, I understand, it appears to be a catastrophic event. But from my judgment, it would appear unfortunately, this creates the desire and ability to create funds to do something where if this didn't happen, they'd be waiting longer. That's just my judgment. As far as the medical, we expect the event to happen in the next quarter or what is the timetable for the medical event to happen, financing etcetera?
Lou Centofanti: Again, I'd hate to give any direction because I probably have missed most of the predictions up to this point. It is progressing and we've made a lot of progress and we'll just see how it evolves. You'll be the first to know if we can reach some sort of agreement.
Operator: [Operator Instructions] Our next question comes from the line of Bill Nasgovitz of Heartland Advisors Incorporated. Please proceed with your question.
Bill Nasgovitz: I also had a question on Hanford. So we have a high radioactive test going on there, a test for rehabilitating high level radioactivity. What's the status of that?
Lou Centofanti: I'm really still restricted on my ability to talk about it. I guess though, there have been several reports come out recently on it, and there's a major GAO report that's available. If anyone would like to read it, it's a couple hundred page document but it does focus on Hanford and various options there. I really can't talk much more about where we are or what we're doing there at this point, under very strict lockup.
Bill Nasgovitz: And just to refresh our memory, the issue there is well over 1 million gallons of high-level radioactive waste. Is that the issue?
Lou Centofanti: We see a great opportunity as the project goes forward, but I really can't talk about numbers or anything at this point.
Operator: Our next question comes from the line of Anthony Marches (ph), a private investor. Please proceed with your question.
Unidentified Analyst: Hi, guys. It's nice to see you turn around. My question revolves around regulatory climate that you see. I guess, you mentioned in your press release, could you just maybe -- and I missed the very first part of the call so I apologize if you mentioned it already. But Lou, could you talk a little bit about what you see at the EPA or whoever regulates your segment in terms of [indiscernible] opportunity?
Lou Centofanti: What we see and this has been a theme I've talked about over and over again, is that our regulations governing our business are all in place. And so number one, the changes at EPA do affect the regulations but we see little or no effort at trying to change the regulations that exist today. In my experience what the Republicans have, I've always said this, is they actually do a better job of managing the existing regulations which control us, and that's number one. Number two on the, and that's more on the EPA side. When you look at the Department of Energy, when you look at all the comments that have been made by the incoming people and the discussions we've had with the transition team and with the, and the people now in, they're very focused on nuclear and they're very focused on improving the process for cleaning up the waste at the Department of Energy. And the initial budget, the proposed budget that came out of the White House for '18 was fairly aggressive on accelerating work in the nuclear cleanup field. Now, there weren't a lot of details, so it's a little hard to judge it. But the top line number was -- would have been, well, if it holds, will be one of the largest budgets the environmental cleanup has had over the years. So everything we're hearing and seeing and also their approach is much more on a commercial approach, looking for better ways to do things more efficiently, and I'm not following the same old path lines that you've heard. So from the big picture point of view, we're optimistic in terms of where our programs are going. And we don't see lots of changes on the regulatory side.
Unidentified Analyst: My second question relates to competition. And again, obviously, I'm preaching to the converted but obviously, I feel the stock is significantly undervalued. In the past, you've mentioned there has been movement or activity in the private area in terms of acquisition. Have you seen any further consolidation or activity in that respect?
Lou Centofanti: Over the last 3 months, there's not been a lot of activity. The 2 big events were the EnergySolutions attempting to buy WCS which is now in court, Justice Department has filed legal action against them. And the second has been the Veolia acquisition of Kurion, a small technology company. We see a lot of interest, a lot of people right now much more focused on nuclear, especially on the decommissioning side, we see that as a very large opportunity going forward. We have some very strong assets there in terms of our facilities, in terms of past work we've done in decommissioning both small reactors and sites. So we see a lot of activity going on. And as Mark mentioned, a lot of effort going on in Canada, where we've had a pretty good success at both treating waste and in providing services. So the competition side, we continue to see ourselves as having a very unique niche, very unique facility that can just about do anything and dramatically save cost DOE for -- or at various clients, Department of Defense and the commercial sector. And Mark has put in place a program that really go after a lot of these new programs. And we're very excited about that because we see opportunities on the commercial side that we haven't been able to touch in the past. We see opportunities in all the areas. So right now, we're very, very excited about where we are, where we're going and our position. And now with a stronger balance sheet, it will have a very significant effect in helping us bidding and partnering and working with some of the larger clients here.
Unidentified Analyst: And final question, Lou, and I appreciate the time. You mentioned earlier a GAO report. Could you be a little more specific? I mean, if I'm on a Google page, what am I looking for?
Lou Centofanti: GAO report out of -- on options at Hanford. On Hanford tanks, it's a GAO report on Hanford tanks.
Operator: Our next question comes from the line of Jim Brown, a private investor. Please proceed with your question.
Unidentified Analyst: I have a couple of questions. First of all, I don't know if I missed this, but what's going there with your isotope project? One thing I'm confused about, you referred to it as a majority-owned medical, that's the isotope project. You don't have a majority interest anymore, you have a minority interest, right? Like 25% or something?
Lou Centofanti: No, no, we have at this point, a majority ownership. Now, if we raise the amount of money we've been pursuing here, we will no longer have a majority that will be very close. If we sell stock in it and a placement but we have not yet completed the placement, so it's still a majority owned company. Depending on how you add it up, somewhere between 60% and 68%, depending on how you add it up.
Unidentified Analyst: So I'm a little confused about this. Now, you start out selling stock in the Polish market and that was a certain percentage of that operation. And then you got -- and then you put -- the company put its own money in and then you found another company that was going to take it over. And then I think last quarter, you said that they had stopped investing and you were talking to them. I mean, this is a really confusing issue here?
Lou Centofanti: No, well, here's -- the series of events was we raised money in Poland, we -- the company environmental has partially funded it through just receivables that are owned, because we do most of the research, continue doing the research on it, and that's where it stands. At this point, we have another investor who's looking at coming in and we're in the process of trying to complete a definitive agreement. And that's been going on for quite a while now and we are optimistic it will work. But until it's done, it's not done. So that's where we are.
Unidentified Analyst: Okay, the last that I heard about this was, you were -- on a certain scale, you were able to create this product but then, you had to scale it up to a high level. In other words, you were able to -- I don't know all the technical details but it worked up to a certain level and you had to get going, crank it up to a higher level. Whatever happened with that? Did you ever prove the thing out totally that it was fairly capable of doing the isotopes that it needs to do?
Lou Centofanti: What was demonstrated is that our process without using uranium can produce commercial quantities of Technetium 99 for use in medical systems. What we've got to do is then, the next step is really finalize. And this is where we ran out of money, so we have stopped most of the work. The next stage is really to build a generator that could be used commercially and that would then be submitted to FDA for FDA approval as a device. So we're still at that same point. We need to finalize a design, a size and -- for the system and then build that unit and run it through various tests that the FDA will require, and then submit that data to FDA for approval. So that's [Indiscernible] and that's the same place where we were about a year ago. I mean, we haven't made -- we've made a little bit of progress in our -- in the little bit of work we've been doing but it's stalled at that point, because you need significant money to go to.
Unidentified Analyst: How much are we talking about to build a generator like that?
Lou Centofanti: Well, the cost to build and do that work would be about $10 million.
Unidentified Analyst: But considering the size of the market and the opportunities, that wouldn't seem to be a lot of money for most companies. And I can't understand, if you have something that's really viable, okay, and then it seems like there's a lot of people that would come forward with $10 million. I mean, that isn't a lot of money for any normal sized company. I mean, if you had really been able -- if you'll be able to prove out the viability of this design and the way you envisioned it, I don't see why --.
Lou Centofanti: It's venture capital. At this point, you're talking about venture capital and its -- because you have to build a device, you have to prove it to FDA, so you do have a lot of steps in between. And in this industry, the major players have other focuses that their focus paths are going down, so it's…
Unidentified Analyst: How about somebody outside? What about a General Electric or somebody outside the industry that, I mean, that's chump change for most of companies, $10 million.
Lou Centofanti: I've raised a lot of money and it's been, I can tell you, it's been a very difficult, we're in a spot that it's very difficult, so --.
Unidentified Analyst: Okay, so this is basically you haven't really moved forward from here which you're paying nonetheless. You've been negotiating with this company, it seems like forever, right? This investor you've been --.
Lou Centofanti: Correct.
Unidentified Analyst: Yes, okay. I wanted to ask you about what, okay so your EBITDA was positive, okay, so maybe I missed this but what are your projections? I mean, we're in the middle of May now. What are your projections? Do you, when do you expect to become profitable with cash flow positive, in the next quarter or two?
Lou Centofanti: Well, we have been, that we had a positive EBITDA and --.
Unidentified Analyst: I mean, your profitability I'm talking about.
Lou Centofanti: One, remember, you've got the cost from the medical and other things in there that affect the -- but if it continues to go as we expect, yes, you should see us turn profitable from an earnings point of view later in the year.
Unidentified Analyst: Okay. And the other thing I'm curious about is have any of your people -- have anybody in management there bought stock on their own in your company? I mean normally, when insiders buy stock, it reflects a level of confidence.
Lou Centofanti: You can see the filings during the periods when we're allowed, we've been buying stock, yes.
Unidentified Analyst: It happened like in recent months?
Lou Centofanti: Yes. Late March, when we had an open period you saw buying going on. You could see it on the file.
Unidentified Analyst: And the other thing I was going to ask you about, you had this closure of this plant. Was that like half of your capacity? Was that like 50% of your capacity? The one you're closing in January.
Lou Centofanti: Our plants are redundant. So what we've done is move technologies into the other facilities. So we'll basically lose very little capacity and yet dramatically, drop our costs. We basically will go from four facilities to three facilities with pretty much the same capacity. And in fact, what we're really focused on is expanding the capacity beyond where we are today of the existing facilities and the new waste streams. So you'll see an expanding opportunity here in terms of the type of services we will offer through three facilities instead of four. And that facility was an extremely expensive facility and we're moving it, we'll dramatically reduce our operating cost.
Unidentified Analyst: Okay, and then the other thing I was going to ask you about is your employment. Just wondering, you mentioned something about personnel reduction or I just wondered, what is your level of personnel currently versus say, a year ago? I just wonder.
Lou Centofanti: No, we have not reduced over the last year, personnel. In fact, if anything, we're growing because of our --.
Unidentified Analyst: So you are adding people?
Lou Centofanti: Yes, we've been adding people over the last year --.
Mark Duff: It's pretty flat over the year. Around to 280 or something like that.
Lou Centofanti: Yes, around 280 people.
Unidentified Analyst: Yes, it doesn't seem like -- I mean, in the space here, like, it doesn't seem like you can readily pick up people that have this kind of expertise.
Lou Centofanti: No, you're looking at actually, the opposite. Is that Perma-Fix is at the cutting edge of the business and we're a highly technical industry, a highly technical company. So the technical people, we have almost no one ever leaves. If you want to work in a highly technical, cutting edge business, you don't have a lot of opportunities in the nuclear business, and we're the exception. So, no, we don't have any problems adding people.
Operator: Our next question comes from the line of Sam Rebotsky of SER Asset Management. Please proceed with your question.
Sam Rebotsky: Yes, Lou and Mark, as far as we did $12 million in sales. How much with the facilities we have, how much waste in dollar value? What percentage of capacity are we working at? And how much can we do at the facilities we are having? Could we do $100 million or how much can we do?
Lou Centofanti: On the waste treatment side, we have a tremendous capacity that's easily expandable if the volumes are there. So even by closing the one facility, the other facilities could readily expand with almost little or no capital. So the technologies are readily adaptable to expansion, multiple shifts. You've seen it at times, when we ramp up, if we could bring in another 10 million or 20 million in revenue on the treatment side and we're hoping to do that with these new markets we're going after, is it will dramatically affect the bottom line [indiscernible] incremental margin is, as I've said in the past, 70%, 80%.
Mark Duff: I would say it and generally describe our productivity, is we're working our standard shift and we're pretty much just about 80% or 90% capacity when it comes to labor. And same if you look at the gram quantities of nuclear material as well. We'll finish right up near the edge and juggling that all the time. As Lou said, we would -- our next step would be to add additional hours and expand our shifts at the plants to accommodate more volume, but we're pretty close. If we can sustain this through the year, then we'll have a great third and fourth quarter because right now, our backlog is very good.
Sam Rebotsky: So you're saying, you're working at 80% to 90% on one shift. If you went to three shifts, you're talking about $30 million to $40 million a quarter sales?
Mark Duff: It was proportional, or I should say, if it was linear, yes, but I don't think -- I don't know if it'll be that linear overall because I've never -- I haven't experienced going to a third particularly, a second shift. You have to look at, as Lou had mentioned, we'll be down to three plants. And while they are largely redundant, they do have different expertise and capability, these plants. So you'd have to -- it would not be that linear but yes, if you were to just simplistically say that you went to two shifts adding -- of the three plants that are remaining, you could certainly double your revenue. You can be in a position to double your revenue. Every waste stream received, they're so unique and they have different processing time and different cost of goods sold or different operating costs. It's very difficult to say because we have such a diverse waste receipt recognition with regards to what type of waste we're actually receiving.
Sam Rebotsky: So also on this technical project that you're doing the research at Hanford, do you think that it's appropriate to talk to partners with significantly more capital to have a plan if you are fortunate that things work out to sort of be ready to go to expand further? Or what are your thoughts on that and how long does it take to sort of ramp up if this project that you're working on comes to fruition and the government likes what you're doing?
Lou Centofanti: Well, we're always looking for partners of substance. Ramping up our facilities though, the technologies require very low capital. It's not -- so any ramp up of any facility in any waste stream. In general, it's not really expensive. It's adding tanks, mixers, very simple off the shelf equipment. So when we ramp up our facilities or waste stream, we can usually do it very inexpensively. Yes, even with our existing capital budget. So we've always put in our capital budgets for unforeseen conditions like that.
Sam Rebotsky: Well, let's hope that you get the opportunity to find Veolia or somebody who acquired Kurion at a very healthy price, to increase your valuation and set the world on fire, guys. Good luck.
Lou Centofanti: Well, thank you. We think with the way we're going and the waste streams we anticipate seeing here, the first way to do that is just improve our numbers and improve revenue and income. And so that's our main focus.
Operator: Our next follow up question is from the line of Bill Nasgovitz of Heartland Advisors Incorporated. Please proceed with your question.
Bill Nasgovitz: It's encouraging to hear Mark talk about, I think you said unprecedented win rates and solid activity in terms of bids in the first quarter, something about 17 bids and maybe $30 million in revenue. In what particular areas is that and what is our competitive advantage there, Mark?
Mark Duff: That's a great question. Basically, there's a pretty wide range of procurements we submitted last quarter. A number of bids in Canada were successful. We won a number of projects at universities and there's a number of other subcontracts that we have in place in the core. So a pretty wide range between international and U.S. government and commercial. We continue to see good growth or sustained growth -- sustainability, excuse me, at the Department or Energy, there's a couple of projects there. Our discriminators and defining our discriminators were very important to do in rebranding the last several months. And that basically is to focus on what we really do best. And our discriminators are -- clearly, our number one discriminator is our treatment facilities, with very, very high barriers to entry. And they're very successful with -- staffed with engineers that are very unique in the industry and can solve waste problems that other people can't. So we can take a lot of what we call orphan waste streams which typically yield very high margin and are sought after. So those waste facilities are clearly our biggest discriminators. Secondly, we've really built a very sound reputation and experience base in the rad protection arena. We have five certified health physicists which are very difficult to find, and they're very field-oriented as opposed to research-oriented. So we're able to solve a lot of problems for our clients with a strong, experienced group of health physicists that can provide solutions to contamination issues, and that we branched that out into different markets. For example, we just really started pushing on the scrap metal market and we had a large commercial scrap metal job last year. And now, we're applying what we learned with that scrap company to other scrap companies nationally, and are seeing a real market open up for us there that when scrap yards receive radioactive materials on accident and gets -- contamination spreads. So those are kinds of things that we're expanding off. So those are the two core competencies which represent our discriminators, waste management and rad protection.
Bill Nasgovitz: Okay, that's helpful. So today, what are we doing in high-level in terms of sales? Are we doing over $1 million of high-level radioactive waste?
Lou Centofanti: No, the -- well, we're again, I'd call it high activity. We do a lot of high activity waste with transuranics and other things but --.
Bill Nasgovitz: [indiscernible] definition that we're not receiving --.
Lou Centofanti: Yes, we're not receiving any high level waste. What we receive is high activity waste and that's a fairly significant market for us today.
Bill Nasgovitz: And what's the size of that? What are we doing there and what is the size of the market?
Mark Duff: About $500,000 a month maybe or just sort of about -- yes, $7 million to $8 million a year, I would say, total. We've receive liquids and some solids that have higher levels of activity, as Lou mentioned, from a [indiscernible] material to high gram quantities of special nature material.
Bill Nasgovitz: Just switching, thank you, just switching back to the tech 99. Lou, you've talked about a possible shortage in 2017 and an increased price. Has that happened because of these plant closures?
Lou Centofanti: Yes, the Canadian reactor has closed and so what has happened is you've seen tech 99 being shipped in from Australia, from South Africa, Europe, so the --.
Bill Nasgovitz: My question was price, my question was price. What's happened to the price of tech 99?
Lou Centofanti: Price is dramatically going up because you also have much more insecure chain. But the price has continued to go up fairly significantly and will continue to do so as those changes that are going on the requirements to make the material so.
Bill Nasgovitz: Okay, that's interesting. So how much is this nuclear medicine costing us this year? How much is it to going to cost shareholders this year?
Lou Centofanti: What did we spend then?
Ben Naccarato: [indiscernible] net of minority interest, about 110,000 for the quarter.
Bill Nasgovitz: So about 0.5 million for the year?
Ben Naccarato: If this trend continues, yes.
Bill Nasgovitz: Well, as a long-term shareholder, we sure would like to see a resolution here. You've been talking about this for years and we're dead in the water. And it looks as if the market is moving. So if there's a buyer for this product, let's sell it. Let's focus on our key market, our core market where we have yet to make any money. Thank you.
Lou Centofanti: Yes, it's very hard to do that.
Operator: Our next lesson comes from the line of Anthony Marches (ph), a private investor. Please proceed with your question.
Unidentified Analyst: Hi, Lou. Just a small follow-up question, the GAO report which I found while we were waiting for this. So anybody on the call, it's GAO-17-306. I guess that's the May report, Lou, that you're referring to. Is your approach the -- again, very minor point but just trying to understand what you guys are doing. Is your approach the grouting approach that they refer to in this document?
Lou Centofanti: That's what they call it, yes. That word is disallowed at Perma-Fix because we treat waste, we don't grout waste.
Unidentified Analyst: I understand that. But when they refer to grouting something, they're referring to your process?
Lou Centofanti: Yes.
Operator: There are no further questions over the audio portion of the conference. I will now like to turn the conference back over to management for closing remarks.
Lou Centofanti: I'd like to thank everyone for participating on our first quarter conference call. As I mentioned earlier, we achieved solid year-over-year growth despite harsh weather conditions. And even though the first quarter tends to be seasonally weak period, we generated 835,000 of adjusted EBITDA. Heading into the second quarter and balance of '17, we anticipate continued growth in revenue and improved profitability. As I mentioned earlier, we see a better macro environment that's illustrated by the increased budget for DOE's Office of Environmental Management. We see very significant opportunities both in treatment and service. On the treatment side, we look forward to implementing new waste streams to our offices which represent very sizable market opportunities. On the service side, as Mark discussed, we're actively bidding on a variety of large contracts and continue to make progress on our win rates for new bids. At the same time, we carefully manage expenses including the planned closure of the M&EC facility. Our balance sheet is strong as it's been in a long time, having paid off our revolver and with over $3 million of cash as we head into our stronger quarters. We appreciate everyone's continued support and look forward to providing additional updates in the future. Thank you all.